Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Methanex Corporation Q3 2016 Earnings Call. I would now like to turn the conference call over to Ms. Sandra Daycock, Director of Investor Relations. Please go ahead, Ms. Daycock.
Sandra Daycock: Thank you. Good morning, ladies and gentlemen. Welcome to our third quarter 2016 results conference call. Our 2016 third quarter new release, management discussion and analysis, financial statements and presentation slides summarizing the Q3 results can be accessed from the Reports tab of the Investor Relations page on our website at www.methanex.com. I would like to remind our listeners that our comments and answers to your questions today may contain forward-looking information. This information by its nature is subject to risks and uncertainties that may cause the stated outcome to differ materially from the actual outcome. Certain material factors or assumptions were applied in drawing the conclusions or making the forecast or projections, which are included in the forward-looking information. Please refer to our second quarter MD&A and to our 2015 Annual Report for more information. I would also like to caution our listeners that any projections provided today regarding Methanex's future financial performance are effective as of today's date. It is our policy not to comment on or update this guidance between quarters. For clarification, any references to revenue, EBITDA, cash flow, or income made in today's remarks, reflect our 63.1% economic interest in the Atlas facility and our 50% economic interest in the Egypt facility. In addition, we report our adjusted EBITDA and adjusted net income to exclude the mark-to-market impact on share-based compensation and the impact of certain items associated with specific identified events. We report these non-GAAP measures in this way to make them a better measure of underlying operating performance, and we encourage analysts covering the Company to report their estimates in this manner. I would like to now turn the call over to Methanex's President and CEO, Mr. John Floren, for his comments and a question-and-answer period. John?
John Floren: Thank you, good morning. Our financial results improved in the third quarter of 2016 due to a higher methanol pricing and record sales volume. During Q3, we recorded adjusted EBITDA of $74 million and adjusted net loss of $1 million or $0.01 loss per share. This compares to adjusted EBITDA of $38 million and adjusted net loss of $31 million or $0.34 loss per share in Q2. Our average realized price increased from $223 per tonne in Q2 to $236 dollars per tonne in Q3. Sales of produced methanol increased from 1.69 million tonnes in Q2 to company record of 1.86 million tonnes in Q3 and our total sales volumes in Q3 was just under 2.5 million tonnes which is also a company record. Methanol prices began to trend upwards late in the third quarter which we believe is attributable to a number of factors. The cost of coal-based production in China increased due to the rising thermal coal prices and we now estimate the high end of the cost curve to be in the range of US$240 to US$260 per tonne. The cost curve is consistent with spot prices in China today which are around $260 and $270 per tonne Further a number of planned outages in the Middle East, Southeast Asia and Trinidad contributed to a tightening of global supply. These factors as well as strong demand led to an increased contract prices across all regions in the quarter. Prices have continued to increase as we begin Q4. Our posted price in Asia increased $25 a tonne in November to US$310 per tonne and in North America our November posted price increased $26 a tonne to US$319 per tonne. Our European price was adjusted upward EUR10 per tonne for Q4 to EUR250 per tonne. Overall methanol demand growth was healthy in Q3. We estimate total Q3 demand at 16.8 million tonnes representing a year-over-year industry demand growth rate of around 10%. Methanol to olefins or MTO demand continued to lead growth as the MTO plants operated at higher average operating rates of more than 80% in Q3 supported by positive cash margins. We expect two more MTO plants to be completed in the coming months and a third in 2017 with the three plants able to consume up to 4.5 million tonnes of methanol based on their announced capacity. Chemical demand was also strong in the quarter as we saw solid demand from traditional chemical applications. Waterfront Shipping took delivery of two more 50,000 deadweight tonne vessels capable of running on methanol. The remaining seventh vessel is expected to be delivered in November. Also during the quarter Waterfront Shipping was nominated for Company of the Year for the 2016 Lloyd’s List Global Shipping Awards. I'm proud to say that Waterfront was honored with the designation of highly commented in that award category in recognition of our investment in these clean burning methanol dual fuel vessels and our leadership in the shipping industry. Our plants continue to run well during the quarter and produced 1.75 million tonnes down slightly from a record production of 1.77 million tonnes achieved in Q2. Our overall plant reliability remain much better than we recorded in the past two years. In North America, our Geismar plant has continued to operate at strong rates. Our medicine at the Medicine Hat facility was idle due to a technical issue during the quarter which resulted in lost production of about 30,000 tonnes. We continue to be frustrated with the ongoing technical issues at this site which is leading to lower production relative to capacity in spite of difficult capacity capital investment over the past two years. New Zealand, our facilities ran at an annualized rate of 2.2 million tonnes which is an excellent performance and represents full operating rates based on natural gas composition. Our Egypt facility continues to operate as reduced rate in Q3. The plant was taken off-line for planned maintenance activities for approximately 40 days during the quarter. We continue to expect the plant subject to be subject to gas restrictions in the near-term although the medium-term outlook for gas supply in the region is improving as activities progress to develop new reserves including the Zohr field. Since we started up this plant in 2011 we have experienced 55 planned cycles which could lead to an additional technical issues over the coming months and years. Our Chile plant produced 68,000 tonnes of methanol during the third quarter. The plant underwent planned maintenance for approximately 30 days and restarted in early August. We continue to make significant progress in securing additional gas supply from our Chile plant. In July, we reached an agreement with our main gas supplier ENAP for additional gas supply through until May 23 2018 and we also amended and extended our gas supply agreement with GeoPark. Our combined gas supply commitments from these and other sources are expected to allow our 880,000 tonne Chile I facility to achieve an annual operating rate of approximately 60% of capacity on average through May 2018. We continue to believe that increasing our Chile production represents our lowest capital cost growth opportunity. As further progress is made in lowering the cost of developing Chilean gas reserves, we are optimistic that additional competitively priced gas could become available in the near future. In Trinidad, we continue to experience gas restrictions of approximately 15% during Q3. We expect the rate of gas curtailments in Trinidad to remain in the order of roughly 15%. We ended the quarter with $234 million in cash, Methanex share of the cash including our proportionate share of Egypt and Atlas cash increased $5 million to $213 million during the quarter. At current Q4 contract prices, we expect cash generation excluding any impact from working capital to be more than sufficient to cover debt service requirements, our dividend and maintenance capital which we estimate at this time to be around $100 million from October 1st until the end of 2017. The outlook for the fourth quarter is positive, we expect higher average methanol prices in Q4 than in Q3 and production is expected to be similar to Q3. As a result we expect EBITDA to be higher in Q4 2016 compared to Q3. I would now be happy to respond to any questions.
Operator: [Operator Instructions] The first question is from Jacob Bout of CIBC. Please go ahead.
Jacob Bout: I had a few questions around the Geismar, or the G1 renegotiation. Is there any fees associated with that, and as it stands right now, is there any price participation for that contract? A - John Floren There is no fees associated with the assignment of the contract if that was the question.
Jacob Bout: Was there a break fee or anything like that? A - John Floren We are not involved in, we don’t know the details if there was break fee between the two negotiating parties certainly we didn't have to pay any additional fees. We had to apply consent of the contract to be assigned which we did in exchange for some benefits for Methanex. So as a result our gas price today is slightly lower than it would have been under the old contract.
Jacob Bout: Okay. Does this change the guidance that you have given historically for how we should be thinking about natural gas costs for the overall Company? A - John Floren Sur. About a third of our gas today is not linked to methanol prices so the previous guidance is about a third sharing about certain methanol prices it’s probably like the quarter today.
Jacob Bout: But there was a base price previously, so you're saying the base price is unchanged, so I'm assuming that base price must be higher than areas where you did have that price participation? A - John Floren As we said in the release the base price hasn't changed, we don't comment on individual gas contracts.
Jacob Bout: Maybe just as a second question here, just on Trinidad, we've been dealing with these gas curtailments for a long time, and it's not only you, it's the nitro producers and others in the area. How do you look at this longer term? Does it get any worse in your mind? How are you thinking about that?
John Floren: There are some new developments coming on in Trinidad the big one is the Juniper field that BP is bringing on there is also some work on land to increase compression. So we would expect restrictions to be around 15% going forward with some improvement in the next 24 months but until we see it we are cautious.
Operator: The following question is from Steve Hansen of Raymond James. Please go ahead.
Steve Hansen: Yes, hi, John. Just a quick one on the concept of buybacks in the future. You suspended the buybacks some time ago on the depressed methanol price environment. It's obviously had a small uptick off the bottom. At what point will you guys be comfortable in reigniting the buyback program?
John Floren: Well nothing is really changed Steve to our strategy about cash distributions. Three uses of cash, growing the company, dividend and buying back shares so that hasn't changed. We have some unique opportunities we think in Chile to grow our business, buy another million and a half tones for roughly $100 million of capital over the coming years we have some privileged projects in Medicine Hat and Geismar that we're continue to focus on. I don't think any significant capital spend on those in the coming 12 to 18 months but we are continuing to spend some money there. our dividend, three pillar, sustainable, growing and meaningful, certainly meaningful today, is sustainable as we proven at the bottom of the cycle and we didn’t grow it this year. So we continue to look at the dividend and any excess cash beyond that we will use it for share buybacks and that looks pretty attractive in today's market, we are trading around $550 a tonne of capacity so I think share buybacks for us is pretty attractive in the current situation.
Steve Hansen: Okay. Helpful. And then just on the Chilean gas then, it does strike me as well that, that's a low-cost opportunity for you guys, but can you give us a sense for how much lower the gas price needs to whittle down before you get the confidence to execute on that next layer of contracts for the first plant, and then secondarily for the additional plant that's still idle?
John Floren: We're pretty happy with the gas price right now so it doesn't have a whittle down any more I think it is more supply and he believe there is an enough gas that’s been developed and available excluding Argentina for a one plan operation. So quite some time there is more development I was down there just last week and there is a lot of exciting things happening in the basin and we're really optimistic that we will see more gas for the second plan. So I think it just has to be developed and the economics are looking quite favorable.
Operator: Thank you. The following question is from Hassan Ahmed of Alembic Global. Please go ahead.
Hassan Ahmed: John, reading through the press release, you talked about 10% annualized demand growth year-on-year. Obviously, an impressive number. Again, in there you talked about how, beyond MTO, conventional methanol demand was looking quite good, as well. Just trying to get a sense, acetic, formaldehyde, and the like, are they trending above normal, typical 3% demand growth that historically you have seen?
John Floren: When we look at the demand growth Q3 over Q3 like 12 month period 10% growth rate the traditional chemical grew 5% in that period which is quite strong and then non-traditional energy were 19% so when you combine them together we saw 10% which is quite healthy.
Hassan Ahmed: Yes, big number, absolutely. Now, shifting gears a bit, obviously we've seen some big moves up in coal prices, but it just seems that, depending on the grade of coal that you are using, you have seen some divergent pricing moves. So could you just give me a sense of, as you look at the cost curve, and you look at that big number in the cost curve that comprises of Chinese coal-based production, can you help me decipher between high grade versus low grade and how this divergent pricing movement will flow through in terms of cost curve, in terms of market pricing, and the like?
John Floren: The high end of the cost curve today is still being made up by anthracite coal and natural gas. Anthracite coal has moved to the same extent as thermal and natural gas hasn’t moved at all and they then to move that price based on oil which is 50. So you may simply see some increases there we haven't seen anything yet but I think the Chinese have been pretty clear on what they’re trying to do with their coal reserves and maybe they over baked it a little bit, who knows, we continue to monitor it but certainly the cost curve was risen by about $40 in the past 60 to 90 days, so that’s quite positive.
Operator: Thank you. [Operator Instructions] The following question is from [indiscernible] of BMO Capital Markets. Please go ahead.
Milan Shah: This is Milan on for Joel today. Just a question here. You talk about three MTO plants starting up through end of 2017. What's the outlook beyond that and is there another MTO wave to come? And if there is, how long does it typically take from, say, construction or decision to build one to actual ramp-up?
John Floren: There is another wave of all the books I would say in the current environment unlikely the level of projects would go forward not the pricing quite low and hasn’t even followed traditional ratios to oil. To build one of these probably 18 to 24 months something like that, it depends on how big the complex is and all the associated derivatives and the tie-ins high. I think sometimes the easy part is the actual NTO facility but it's all the other tie-ins to the methylene glycols, propylene oxide et cetera. But we continue to have a long list that we watch on a regular basis and beyond this first wave, we could have to see naphtha pricing and oil pricing adjust a little bit further before you would see further investments.
Milan Shah: Okay. And then can you help us understand the tax rate in the quarter? I remember some previous commentary talking about maybe the tax rates being a little wonky when prices are low or moving rapidly, but how do we model this going forward?
John Floren: I’ll let Ian Cameron, our CFO, take a stab at that one.
Ian Cameron: Yes. In terms of taxes, as I said before in other calls that when you get into these low earnings environments, we tend to get unusual tax rates and a couple of million dollars of taxes can have a huge impact on the rate, but the absolute number does not make a difference and that could be caused by a whole bunch of things like foreign exchange where the product is sold, things like that. So you will get unusual tax rates, low pricing or low earnings levels. Structurally, when we think about the long-term prices of say 300 to 450, our guidance has been 20% to 25% and that guidance is still valid.
Operator: The following question is from Laurence Alexander of Jefferies. Please go ahead.
Laurence Alexander: Good afternoon. Two questions. One is, can you give an update on the progress you made evaluating a possible site in Medicine Hat, and particularly, any possible government subsidies for such a project? And secondly, what's the outages at competitors and what do you see keeping - as the factors that will keep the Atlantic price above the Pacific price for the methanol contracts?
John Floren: Sure, so as far as Medicine Hat, we’re anxiously awaiting decision by the government, which we understand could come in the coming weeks, but we don't have a specific date. We think our project is exactly the kind of project that the government was looking for to invest in. Having said that, we don't have any inside information that we’re going to be approved, but we’re optimistic that we will get the royalty subsidies for gas. So we’re anxiously awaiting that and we’re quite optimistic. As far as the basin balances, it's hard to predict how the industry is going to operate. If I look at the first two quarters of this year, the industry operated well above historical averages, and the second two quarters, we’re back to where we were historically. Having said that, we normalize things, our view on the basin balance, premium in the Atlantic will be around $10 to $20 a ton and that’s really a Middle Eastern product would prefer to flow to Asia as opposed to Europe or North America on average. That’s what our current planning scenario looks like and until we see different, that's what we’ll continue to focus on.
Laurence Alexander: Maybe if I can fit in a third, could you just give an update on your experience with the methanol fueled ships, what you're seeing in terms of, are they performing as expected?
John Floren: Well, it’s the first time anybody has done this and we've had a few small technical issues, but nothing major. It's only been a few months, I think we've run over 50 days with methanol and we’re quite excited about what we’re seeing and until we actually run a ship for six months to get the data that we’re confirming what we expect on emissions and efficiencies, it is probably too early to comment beyond that, but the five of the six ships have awarded methanol and we take the seventh ship next month. So I think it’s too really early, but we are quite excited that to be doing this and to introduce methanol as a fuel, not only for our ferry, but now for oceangoing vessels.
Laurence Alexander: Thank you.
Operator: Thank you. The following question is from John Roberts of UBS. Please go ahead.
John Roberts: Thank you. Could you give us an update on the global capacity addition outlook?
John Floren: Sure. So Iran is a little opaque, but we estimate between now and 2019 about 4 million tonnes coming on in Iran and besides that we have a plant in the United States, somewhere late next year, early 2018, the nat gas project and about 3 million to 4 million tonnes in China between now and 2019.
John Roberts: And then we've had both oil and Chinese coal move up during the quarter. If coal were to reverse, do you think oil has moved up enough to support prices roughly where we currently are, or do you think we would backtrack a fair amount if coal were to reverse in China?
John Floren: I never like to predict price, John. So we look at supply demand balance and we are quite pleased with the healthy demand growth that we’re seeing, 10% year-over-year is quite solid and we got another 4.5 coming in the coming months. So we expect demand to continue to outstrip supply, which will lead to a market where high cost producers need to run in order to keep things balanced. What that leads to in price, I'm not going to go there.
John Roberts: Okay. All right, thank you.
Operator: Thank you. The following question is from Robert Kwan of RBC Capital Markets. Please go ahead.
Robert Kwan: Good morning. If I can just come back to Medicine Hat, and John, you referenced the outages that you’ve had. And I'm just wondering what you've had in Q2, Q3, were those related, or are they different issues? And ultimately how do we think about the run rates and the time to get the work done going forward?
John Floren: One was related and one was unique. Both related to design, not to operation. So really frustrating for us. We've spent a lot of money to get that plant to run at high rates and you get a design issue from the original days of the plant that surfaced a couple of times. It's now we have to find a more permanent solution, which is going to impact us. And until I see the plant running at high rates on a consistent basis, I’ll reserve my comment.
Robert Kwan: Is it a situation where you're still trying to work through what a fix might be, or do you know what it is and you just have to engineer it and get it put in place?
John Floren: We unfortunately know what it is and we got a solution that we’re implementing, the length of time is a little unclear at this point. But we have a solution.
Robert Kwan: Okay. And just my second question also relates to Medicine Hat. You benefited from lower Alberta gas prices. I'm just wondering, can you talk about where you are with the hedges for those plants in terms of the duration? And with that, are you taking a corporate view on the hedging strategy going forward, just given some of the pipeline talks that may have - that could have implications to narrow the Alberta basis against the rest of North America?
John Floren: We're kind of happy with where we are at right now with hedging. We’ve started to layer in a bit of gas for Medicine Hat in the 2020 period. So that’s relatively new, but we are in the $2 to $3 range for hedges. I think we’re pretty well covered for the next few years and then as you get to 2018, ‘19, half covered or 60%, something like that. I can get you the exact numbers offline. So, but we’re pretty happy with where we’re at, certainly for Geismar where you shouldn't expect us to layer anymore hedges in there. At this point, we've got enough gas covered for 10 years that allow us to run those two plants at 70% if the spot market does blow out and we've got sufficient pipeline capacity there. So we’re not worried about that and we do see Western Canadian gas continuing to be at a discount to US Henry Hub. So we might layer in a little bit more for 2020 at current pricing, which has been below 250 and beyond that, I think we're pretty happy with where we’re at.
Robert Kwan: That's great. Thanks very much, John.
Operator: Thank you. [Operator Instructions] The following question is from Cherilyn Radbourne of TD Securities. Please go ahead.
Cherilyn Radbourne: Thanks very much and good morning. Most of my questions have been asked, but maybe I can get to you to comment on the situation in Trinidad during Q3. What I'm driving at there is there had been speculations certainly in some of the industry publications that there might be greater than normal gas restrictions as a result of some platform work that was occurring but your plant seemed to have operated in line with the long-term guidance you've given regarding gas restrictions?
John Floren: Well, don’t always believe everything you read in an industry publication, not all of it is accurate. They get information from a number of different sources. All we know is what we know about our operations and not when speculated about our competitor or the ammonia industry down the. What we’ve been told is what we have been seeing. So we do expect to have about 15% restrictions and that's what we’ve been experiencing, I can't really comment on others and their particular situation and whether their gas contracts expire, I don't know. So I just know our situation.
Cherilyn Radbourne: Okay. That's fair. And then very quickly, how much importance to the industry do you think the upcoming decision on sulfur emissions from the IMO may have?
John Floren: Well, I think it’s great news. I think so they announced, I believe it was today or yesterday that the 0.5 sulfur limit will come in to effect in 2020. So there was some talk it might be 2025. Now that it’s 2020, then shippers are going to have to do something quicker than they were thinking and methanol is part of that solution. I think people are still waiting to see how we do with our ships and our trials and but there is certainly a lot of interest and a lot of publication and press about methanol. It won't be the solution, it will be part of a solution, you will see probably some LNG, you will see sulfur, marine, diesel, et cetera, but longer term, we’re very excited about the potential for methanol, especially with these tighter regulations, not only an sulfur, but we would expect particular matter and nitrogen also to be tighter in the future. And methanol is a nice fuel to meet all those new requirements as well in the renewable and I know shipping companies are looking for fuels that over the long term could be made from renewable sources like CO2, like we’re doing in Iceland. So there is a lot of exciting things about methanol as a fuel and again on a scale of 1 to 10, we’re probably at a stage or step one. So we will continue to monitor this land, but that ruling is certainly going to be favorable for methanol versus 2025.
Cherilyn Radbourne: Great. Thank you. That's all for me.
Operator: Thank you. The following question is from Christopher Perrella of Bloomberg Intelligence. Please go ahead.
Christopher Perrella: Thank you. On the capital spending, what are some of the growth projects or projects you could you pull if the methanol environment or market improves in 2017?
John Floren: Yes. I have mentioned earlier that the Chile project is for about 100 million. Once we get comfortable with the gas situation being enough for two plants, I think you would expect us to spend 50 million in the next 24 months and another 50 towards the end of the decade if everything works out on the gas supply. The Geismar 3 and the Medicine Hat 4 project, they are both looking to be projects that are better than brownfield and much better than greenfield. We are awaiting the Alberta royalty decision, which, if it’s positive certainly puts that project even in a better position than we're looking at today and I think for us, we have to see a little higher pricing. We still believe the long-term price of methanol is well north of where we are today, but we will continue to work on those projects, and it’s not just the price of methanol. There is other things, transportation to the coast for the Medicine Hat plant and as well as being able to execute, i.e., construction labor is pretty tight in the US Gulf, it looks to be a little better in Alberta. So there is a number of different factors, it’s just not methanol price, but we want to be in a position at the right time to execute on either or both of those projects and we still believe to construct plants in the North American environment today, or talking $1000 a tonne. So that's the kind of capital that you'd be looking at over $1 billion. We’d like to have a partner that can bring gas and maybe take methanol working on that as well. So those two projects will continue to work on and at the appropriate time and when we have all these boxes checked, we will execute.
Christopher Perrella: All right, thank you.
Operator: Thank you. The following question is from Daniel Jester of Citibank. Please go ahead.
Daniel Jester: Good morning. So when you have seen these outages that you mentioned in your press release in the Middle East, Southeast Asia, et cetera, have you seen the Chinese producers actually ramp up production rates? And maybe just any updated thoughts on the ability of the Chinese to flex capacity in periods when you see higher prices?
John Floren: Time will tell on that one, Daniel. We continue to see a lot of imports into China. We continue to see in the last two quarters, a fairly significant inventory drop. So the excess production or idle production has not anywhere been close to making up for what the production rates were in the first quarter of this year. So it’s kind of a watching space, but we haven't seen the ramp up in Chinese production come anywhere close to compensate for what's been lost.
Daniel Jester: And you mentioned that you brought down some of your own inventories in the quarter by about 100,000 tonnes. Can you just comment where your inventory levels are today relative to normal?
John Floren: Yeah. We are quite comfortable where our inventory levels are. I think what we drew down was produced inventory. So I think where our inventories are today is where you should expect them to be, as we grow our sales, we might add some inventory, but I think we’ll grow our sales in line with our production and our next increase in production will come from Chile. So stay tuned.
Daniel Jester: Thank you very much.
Operator: Thank you. The following question is from Steve Hansen of Raymond James. Please go ahead.
Steve Hansen: Oh, hi, John. Just want to circle back quickly on the Egypt plant. You made some reference to the plant being through 55 cycles at this point. Can you just explain what that means in terms of future maintenance dollars and how we should think about that going forward?
John Floren: Yes. Thanks, Steve. These plants like to run at 100%, they are designed to run at 100%. I will remind you at the front end, very high temperature, almost 100 degree C, so they like to be steady. When you have a plant cycle 55 times, what does that mean, well, shut down, start-up, lower the operating rate, sometimes a hard shutdown. So plants don't like that and it’s difficult to predict the impact of that kind of operating structure on the technical and structure of the plant going forward. So just being cautious, saying that until we see steady gas that allows us to line the plant and run it at a steady rate, based on our previous experience with plants, we may run into some technical issues that we’re not anticipating. We haven't had a turnaround at that plant since it started up, so we have been doing patchwork, I would say in a very difficult environment through what's happened in the country. So these plants are designed to run at full rates and come down every 3 to 4 years for turnaround and that certainly hasn’t been our experience in Egypt.
Steve Hansen: Okay, much appreciated. Thanks.
Operator: Thank you. There are no further questions registered at this time. I would like to turn the meeting back over to Mr. Floren.
John Floren: Well, thank you. We believe that we witnessed the bottom of the current methanol price cycle in Q2 of this year. We are committed to remaining focused on prudent cost management and maintaining a solid financial position as we navigate out of a challenging period for the methanol industry. With our focus on safety and reliability, we have emerged a stronger company with an outstanding asset portfolio. We are in an excellent position to generate strong cash flows for shareholders as the methanol price improves. Thank you for the interest in our company.
Operator: The conference has now ended. Please disconnect your lines at this time. We thank you for your participation.